Operator: Hello, and welcome to the urban-gro, 2022 First Quarter Earnings Conference Call. As a brief reminder, all participants are currently in a listen-only mode.  Following the presentation, there will be a question-and-answer session for those on the teleconference line. Please note that this conference call is being recorded and a replay will be made available on the company's website following the end of the call. At this time, I'd like to turn the conference call over to Dan Droller, Executive Vice President of Corporate Development and Investor Relations at urban-gro. Sir, please go ahead.
Dan Droller: Good afternoon and thank you for joining us. Today's call will be led by Brad Nattrass, Chairman and Chief Executive Officer; and Dick Akright, Chief Financial Officer. Following our prepared remarks, we will open up the call to questions for those on the teleconference line. I'd like to remind our listeners that remarks made during this call will include discussion of non-GAAP metrics, including adjusted EBITDA and backlog. These items should not be utilized as a substitute for urban-gro's financial results prepared in accordance with GAAP. Reconciliations of our GAAP net loss to adjusted EBITDA are available in our press release and in our Form 10-Q filed with the SEC, and can be accessed from the Investor Relations section of our website. On this call, we may state management's intentions, beliefs, expectations or future projections. These are forward-looking statements and involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the Safe Harbor Provisions of the Federal Securities Laws and are based on urban-gro's current expectations and actual results could differ materially. As a result, you should not place undue reliance on any forward-looking statements. Some of the factors that could cause actual results to differ materially from these contemplated by such forward-looking statements are discussed in the periodic reports urban-gro filed with the Securities and Exchange Commission. These documents are available in the Investors section of the company's website and on the Securities and Exchange Commission's website. We encourage you to review these documents carefully. Lastly, a copy of our earnings press release may be found on the Investor Relations section of our website at ir.urban-gro.com. In addition, a webcast replay for today's call will be available on the Events section of our IR site. With that, I would like now to turn the call over to Brad, Chairman and CEO.
Brad Nattrass: Thank you, Dan. Good afternoon, everyone, and welcome. I'll begin today's call by providing an overview of our business, including an update on our results, execution and vision, as well as share a few updates on key developments thus far in the second quarter. Dick will then review our financial results in more detail, and then we'll open up the call for your questions. 2022 is off to a very strong start, and Q1 marks yet another record quarter for our business, with record quarterly revenues and our seventh consecutive quarter with positive adjusted EBITDA. Driven by organic growth of almost 50% and incremental services revenue from the acquisition of the architect firm 2WR, our revenue nearly doubled versus the first quarter of 2021. The performance of the 2WR assets continue to exceed expectations and the integration of our services and equipment offering into the existing pipeline continues to drive significant waterfall revenue opportunities for the company. A couple of weeks ago, we celebrated a significant milestone with the closing of the Emerald Construction Management acquisition. Not only will this transaction be immediately accretive to earnings. It further expands our full suite of in-house service offerings to include Construction Management services and also adds complete design build capabilities to our platform. I'm incredibly excited as it not only bolsters our project pipeline, but it also simultaneously further diversifies our revenue stream to include sectors outside of Controlled Environment Ag are also known as CEA. We firmly believe that this transaction represents the future of urban-gro, fulfilling our vision of providing value-added design, engineering, procurement and construction management or altogether EPC services. With vast experience and a deep expertise in CEA, we're offering our clients full service, a la carte and complete turnkey single point of responsibility design build solutions. As our respective teams have already been partnering prior to close, we look forward to a smooth integration process over the next several months and the announcement of some exciting new commercial projects that were in the midst of the hearing. For operating facilities, we continue to focus on building out our managed services offering, branded gro-care, the highly advantageous recurring revenue model that utilizes our in-house knowledge base to provide operators with the expertise to assist them with training, on-site and remote troubleshooting, remote monitoring and also ongoing maintenance programs. The strength behind both the managed services offering and the company as a whole, it's our people. We're fundamentally a high-touch, service-oriented company comprised of extremely deep bench of experts. With the addition of Emerald, we now said that approximately 125 employees, of which a little over 80 are those whom we highly regard to specialists or experts in their respective areas. They are the architects, engineers, cultivation designers, remote on-site project managers and superintendents and a collection of horticulturists and plant scientists who have a strong history of growing multiple crop types. It is clear, these experts are urban-gro’s strongest IP. And it's the holistic integration of these skill sets and the expertise acquired from working on more than 500 projects within the indoor CEA, industrial and health care sectors that provide immense value to our clients and define our competitive advantage. We have capabilities to tackle projects globally and bring our clients best-in-class services to maximize their investment and achieve their cultivation goals. From a financial perspective, Q1 was a fantastic quarter for the company. We achieved first quarter revenues of just over $21 million, which represents growth of a little over 75% versus Q1 of 2021. We generated positive adjusted EBITDA of approximately $0.4 million, which marks our seventh consecutive quarter of positive adjusted EBITDA. We continue to maintain a strong balance sheet entering Q2. And after spending $3.8 million on a treasury stock buyback in Q1, we have a cash position of just over $27 million, zero debt and backlog of $22 million. These results speak to our client-centric focus and our ability to deliver a world-class level of service to a single point of responsibility across all aspects of their operations. This is not only urban-gro’s value proposition, it's the foundation of our success to date, which includes delivering such strong growth amid a fluid operating environment and changing industry dynamics. From a growth perspective, we're focused on three key areas; one, geographic expansion; two, expansion within the CEA's food-focused vertical farming sector; and three, continued expansion of our service capabilities, not only within the CEA sector, but further diversification of revenue through our growing client base in the industrial and health care sectors as well. First, geographic expansion. Our expansion into the EMEA region is on plan. We continue to build on our presence in the core cannabis and food-focused vertical farming markets, and we'll soon announce the hiring of a key European-based employee who will serve as the Managing Director of our European Operations. Based in the Netherlands, this individual has more than two decades of experience in horticulture and automation, and I'm confident that he'll be invaluable in shaping our strategy and will help us drive long-term growth in the region. In terms of our progress to-date so far in 2022 in EMEA, we signed contracts in Israel, Portugal, the UK, and North Macedonia. We've also expanded our presence by attending, presenting, and exhibiting at key industry trade shows and conferences in Germany, Spain, Dubai, and Israel. And further, we'll continue to be visible in the near-term with additional events, including exhibiting at one of the leading global horticulture conferences, Greentech in June in The Netherlands. Our second area of focus is expansion within the controlled environment ag sector and more specifically, food-focused urban vertical farming. Our services capabilities and the equipment we help to procure our plant agnostic. So, working with one of the most valuable crops in the world has given us a great entry point into produce. We have immense capabilities to service the indoor food-focused sector and see strong momentum in both the North American and European markets. To that end, since the start of 2022, our team has signed seven project contracts with five indoor vertical farming operators in North America. We expect our project with Urban Health Farms in Europe to launch in the coming months as they complete their site selection processes for their first quants. In all, as reported before, this exclusive engagement provides for urban-gro to deliver up to 20 full design built turnkey facilities across Europe. The third and final area of growth includes continued expansion of our service capabilities within the CEA sector and further diversification of revenue with further expansion in health care and industrial sectors. Through thoughtful strategic acquisitions, we've created a full suite of value-added capabilities and services. The evolution of urban-gro is now a reflection of the vision that I set out to build a bit over a year ago. Today, I'm proud to affirm that urban-gro is the global leader in providing in-house turnkey services to the indoor CEA market. This engineering, procurement, and construction approach, also known as EPC, provides urban-gro opportunity to diversify our offerings beyond the ancillary cannabis market to be utilized more broadly in food-focused vertical farming, health care, and industrial sectors as well. As an EPC specializing in value-added horticulture, we're the only full-service turnkey design build company in the global indoor CEA sector to offer a single point of responsibility to the market. The added value of our experience and expertise with an indoor CEA provides enormous value to clients in the global indoor CPA sector, regardless of the crop title. And we're working with CEA clients for the life of their grows. We're there from the preconstruction cultivation and planning stage, through the crop and asset protection operational support via gro-care where we aim to dominate in the design build of midsized indoor CEA facility. As an EPC, we are now able to address a larger market and capitalize on opportunities in adjacent markets, where the companies we've acquired have built relationships, expertise and trust. This has translated to a demonstrated execution with large corporate clients that we will continue to foster as urban-gro evolves as an EPC. The strategic acquisitions of 2WR and Emerald Construction Management have accelerated access to these opportunities and serves as a key attribute in our acquisition rationale. From an operational perspective, our expanded diversification allows us to ensure that we keep our teams fully optimized and more importantly, completely efficient by maximizing our billable hours. By utilizing our architects, engineers and cure designers and project managers across multiple sectors, we can allocate resources based on the demand variances in each market segment, as these businesses cycles ebb and flow. We are very cognizant of the changing labor environment and through diversification we're able to bring our team to bear in a wide array of client talent. In the short run, this helped us absorb overhead. But in the long run, having access to interesting and challenging projects will attract the best talent and support long-term growth for our amazing team. As it relates to guidance for full year 2022, look, we've had a great quarter, but we also want to be mindful of the uncertainty in the current broader macroeconomic environment, including inflationary pressures, tightening labor market and also specific aspects of the cannabis industry. While we're not immune to these factors, we remain bullish on our strategy in 2022, and interest levels in our solutions remain elevated in our addressable markets, including crop agnostic, indoor, CEA, commercial and health care sectors. While we continue to closely monitor how these factors are impacting our clients and manufacturing partners as well. At this point, we're maintaining the annual guidance that we provided two months ago on our 2021 earnings call; revenues greater than $110 million and adjusted EBITDA of greater than $5 million. In closing, I’m ecstatic with the acquisitions that we've made and how we've rapidly and efficiently evolved over the last year. We're focused on advancing our diversification strategy, which will, in turn, reduce our exposure to any one segment, market or region, and we expect this will help to insulate us and reward our company and our shareholders in the quarters and years to come. With that, I'll now turn the call over to Dick.
Dick Akright: Thanks, Brad. Our financial results continue to demonstrate our strategy to grow in a smart, meaningful and cash flow positive way. We built upon our momentum and generated another quarter of record financial results in the first quarter of 2022. Revenue was $21.1 million in the first quarter of 2022, compared to $12 million in the prior year period, representing an increase of $9.1 million or 76%. This $9.1 million increase was driven by a $5.7 million increase in equipment systems revenue and a $3.4 million increase in services revenues. The increase in equipment systems revenue is tied to growth of new and existing clients and is continued evidence of the underlying quality and growth potential of that business. The increase in services revenue is primarily attributable to the acquisition of the 2WR entities at the end of July of 2021, which will continue to enhance our reported services revenue numbers on a go-forward basis.  Gross profit was $4.9 million or 23% of revenue in the first quarter of 2022 compared to $2.6 million or 22% of revenue in the prior year period. This represents an increase of $2.3 million or approximately 100 basis points as a percent of revenue. The increase in gross profit dollars and margin percentage was driven by an increase in equipment systems revenue dollars than the prior year period and an increase in high-margin services revenue, primarily again due to the 2WR acquisition.  Operating expenses were $5.8 million in the first quarter of 2022, compared to $2.5 million in the prior year period, representing an increase of $3.3 million. This increase in operating expenses was driven primarily by increased headcount to support current and future growth initiatives, including costs associated with the 2WR acquisition. Net loss was a negative $0.7 million in the first quarter of 2022, which compared to a net loss of $1.6 million in the prior year period or an improvement of $0.9 million.  Adjusted EBITDA was $0.4 million in the first quarter of 2022, which compares to $0.5 million in the prior year period. Adjusted EBITDA was driven by growth in gross profit, including the contribution from the acquisition of 2WR, offset by strategic investments in operating expenses to drive growth.  Moving to reported backlog. Our total backlog as of March 31, 2022 was $22 million, comprised of equipment backlog of $16 million and services backlog of $6 million, which compared to $30 million as of December 31, 2021, which was comprised of approximately $25 million of equipment and $5 million of services backlog. While there are several variables that influence the change in backlog, the two primary factors are signed orders and revenue recognized from signed orders during a stipulated period.  Because our backlog generally relates to capital expenditure commitments made by our customers, the dollar amount of signed customer orders in individual periods can fluctuate materially. Revenue recognition is then dependent on delivery of these orders. Backlog as of March 31, 2022, is sequentially lower from the $30 million we reported at the end of 2021. We believe that this is a result of several variables that are impacting the timing of purchases for clients as Brad discussed above. But for now, we believe this to be transitory and are keeping a close eye on it, as our service revenue continues to expand.  Nonetheless, as indicated by our backlog entering Q2, we are now anticipating that revenue generation has shifted out due to the rapidly changing macroeconomic environment. And although it is early in the quarter, we believe that our second quarter 2022 revenue will be below that of first quarter 2022. However, as Brad did note above, our full year annual guidance remains intact.  Now turning to our balance sheet, our capital structure is in excellent condition. After repurchasing $3.8 million of our stock in Q1, our cash position entering Q2 is $27.1 million, and we have no debt, which provides us the necessary flexibility to manage the macroeconomic market circumstances while we fuel our growth strategy, including potential additional M&A targets. In summary, we are incredibly pleased with our financial results this past quarter, and look forward to continuing to execute for the year, with our growing team of experts. That concludes our prepared remarks. Operator, please open the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session.  Your first question comes from Eric Beder with SCC Research. Please proceed with your question.
Eric Beder: Good afternoon and congratulations on a solid start to the year.
Brad Nattrass: Thanks, Eric.
Eric Beder: When you look at the increased marketing spend and the other pieces here, what has been driving your customers to add on with you? What has been the key piece here going forward that we should be focusing on in terms of driving additional revenue going forward and giving you that confidence to maintain the guidance even with the backlog where it is.
Brad Nattrass: Eric, our service levels, I think we uplifted and have made some strong acquisitions have greatly increased. We have -- we're delivering phenomenal service to our clients, and they're asking us, "Hey, hello, can we work together? We're initially making contact with clients probably 16 months, 18 months prior to facility start-ups. We have a long road to help clients, avoid making mistakes, share our learnings with them on, best case efficiencies for their facility or methods that they should use. We're not a manufacturer. But we work with a lot of manufacturers. So we're able to also share with them a variety of solutions in each category as we specify procure and integrate equipment systems. So I think it's just that patch over 18 months, the chance to have multiple relationships in our organization with theirs that allows us to extend. One example is supply chain issues. I think we've done a great job helping our clients on -- from an equipment standpoint, avoid supply chain issues. And we're prevalent in this industry and many industries. But if mechanical or cooling systems are going to take six or seven months versus three, it's okay, because we're touching the client earlier, and we're able to just engage in that process a little bit quicker than they are. To answer the second part of your question, the guidance that we gave, it also includes organic an eight months of Emerald construction management. And then, in the short period that we've owned Emerald, what we've learned is there's tremendous upside with that organization, 37-year old family company, they've taken as far as they could, but now with opening new job racks with the strength of our balance sheet, you hear me talk more about commercial now and the design build of CPG companies distribution centers, these are relationships that Emerald had before the acquisition by urban-gro. And our balance sheet, the strength of our balance sheet allows us to do more projects in that space as well. So the majority, of course, of the business is focused on CEA but that other sector, that diversification that I talked about it's key because we can ensure that our billable hours are maximized and we’re efficiently using our assets, our designers, engineers and architects across many projects as the industry ebbs and flows.
Eric Beder: Okay.
Brad Nattrass: Did I get all of the answers?
Eric Beder: I think so.
Brad Nattrass: Okay, good.
Eric Beder: No, I think that’s it. Did you -- the backlog does not include anything from Emerald, right? Because you did it at the end of Q1 where you did not own Emerald?
Brad Nattrass: Yeah. That is correct. And something to point out on the backlog, Eric, it did decrease, of course, right, from $30 million to $22 million. But when you look at the service component, in Q4 the backlog is $5 million in services at the end of Q1 and it increased 20% to a little over $6 million. And we continue to sign service contracts, which eventually, if we're doing our job right turns into the equipment contracts eight months plus down the road. On equipment, as we've talked before, and it's very important that we said for the last year and a quarter focused on backlog, it's a great indication of future business. And here we are with it down this quarter. However, when it comes to equipment and finding equipment contracts, it's just a matter of timing. And sometimes, those contracts can push into the following quarter quite easy. But I think it's important that we keep focusing on backlog and look at quarter-to-quarter over an extended period of time for sure to see how the ebbs and flows.
Eric Beder: Okay, guys, good luck for the rest of the year.
Brad Nattrass: Thank you. I appreciate it.
Operator: Your next question comes from Anthony Vendetti with Maxim. Please proceed with your question.
Anthony Vendetti: Thank you. Just a little bit of a follow-up on the backlog, and then I had an additional question. So, obviously, you had a little bit of a beat in revenue here. And as you mentioned, backlog did decrease. Do you feel that the revenue beat was a little bit of a pull-forward from this current quarter that we're in now, the second quarter, or is it more just a timing thing in terms of the way you signed up deals and what you were able to pull from backlog based on what you were able to recognize as revenue. Maybe just kind of give a little more color around that that would be helpful? Thanks.
Brad Nattrass: Sure. Thanks, Anthony. So first of all, revenue is definitely demonstrating an overall trend. As our services backlog increases, it's a good indication that our business is -- we're adding new clients, it’s trending in the right direction. At the end of each quarter, at the end of Q4, backlog of $30 million, we hopefully would this quarter be able to fill that back up with signed contracts and exceed that $30 million, because typically equipment will shift in one to two quarters. So the indication is we did ship good, strong equipment in Q1, and we'll ship the remainder of that in Q2, but there wasn't the contracts on the equipment side -- on the equipment side, sorry, signed in Q1 that we would have expected. But again, equipment is all timing. And if and when the client is ready or if and when that supplier or manufacturer is ready to confirm a time line, sometimes that will push back a few weeks, but that can also push into a financial quarter.
Anthony Vendetti: Okay. So, maybe that -- that takes me to another question before I get to my last question. So, maybe talk about pipeline then. So where you see the customer interest level and they're close to maybe signing contracts, but haven't yet, so they're not part of backlog, but is your pipeline of customer/dollars, did that grow in the first quarter?
Brad Nattrass: It's a great question, Anthony. And the pipeline, although we don't report it, the pipeline is what gives us confidence, of course, in future backlog numbers and therefore, future recognized revenue. And I mentioned earlier in the call how we've been working with Emerald for a couple of months now on some design build projects -- and so we're quite confident about our pipeline, both inside the CEA space in food and cannabis, but also very confidence in our pipeline outside in the CPG, industrial side and healthcare as well.
Anthony Vendetti: Okay. So -- and...
Brad Nattrass: That confidence in that pipeline gave us the confidence to maintain the debt.
Anthony Vendetti: Okay. So you have confidence in the pipeline directionally, that's trending your pipeline trending up, which gives you the confidence in the backlog.
Brad Nattrass: That is correct.
Anthony Vendetti: Okay. And so…
Brad Nattrass: I’m sorry. Go ahead.
Anthony Vendetti: Yeah. No, go ahead.
Brad Nattrass: You can see this with the services backlog increasing. It shows the success from the acquisition of the architect firm in early Q3 of 2021. And now with the acquisition of Emerald Construction Management and the pipeline that they have and the projects they have that we've inherited as well, both in CEA and outside of CEA. There's a lot of revenue -- recurring waterfall revenue -- sorry, waterfall revenue opportunities for us to track on that side as well.
Anthony Vendetti: Okay. Good. And the last question was regarding urban health farms, the agreement for the European vertical farms. Is that a little bit on hold? Is there any impact on that business due to the war in Ukraine or just an update on that particular business at this point?
Brad Nattrass: Yes, it's definitely not on hold, but it's definitely taking longer than anticipated, and that's why we didn't choose to give a number or investment or a forecast when we announced it in Q4 last year. But the fact that we are moving forward, opening our office in the Netherlands, hiring a Managing Director with that deep two-decade-plus portoculture  experience in automation for horticulture facilities and building out the team there, continuing to aggressively look for service acquisitions as well. So it's a good strong -- it's a good strong indication that we believe that, that opportunity will begin to blossom. For Urban Health Farms themselves, they signed the deals with the end users. They have looked at multiple sites in multiple countries and then we step in and then do the full design build of those facilities. So as soon as we signed our first contract, I've committed in the past and I maintain that we'll definitely announce it, Anthony, because I think, it's a great initiative and a great step forward for urban-gro in Europe.
Anthony Vendetti: Okay. Great. Thanks. I’ll hop back in the queue. Appreciate it.
Brad Nattrass: All right. Thank you.
Operator:  Your next question comes from Aaron Grey with Alliance Global Partners. Please proceed with your question.
Aaron Grey: Hi. Good evening, and thanks for the question. So first one for me. Just talking about diversification and mix beyond CEA, can you talk about how you're looking at that today. Obviously you've had some acquisitions, I want to just think about on the go forward maybe the right mix that you would like given you do have a reliance on build-out, which can be a little bit cyclical. So just how you think about diversification and then how M&A kind of plays into that, especially off the back of the buyback of $4 million recently and it's how you look to utilize that capital for stock repurchases versus potentially M&A for diversification? Thank you.
Brad Nattrass: Thank you, Aaron. I'll take the first part, Dick and then I'll pass it on to you for the stock buyback portion. Aaron, when we made these acquisitions of profitable service companies, the three that we've made so far or two in the last year, our 30-plus year family or partnership businesses. And while the majority of their businesses is in CEA, they also have built relationships outside, as I mentioned, the CPG group, a healthcare group, hotel chains, like there's groups they've had really strong relationships with, and we didn't want to shut that down because the margin profile is the same regardless, if it's in CEA or non-CEA, until the acquisition of Emerald, it wasn't material. We didn't feel that it was material until we had completed the – I guess, the tri-factor, engineering, architecture, now construction management so we could launch the brand as an EPC company, more of a mainstream, well-known type business model. And now with the addition of Emerald, that number will be material. In terms of breakout between CEA and non-CEA, it's a little bit early to nail that down for this year. But I would say, it's probably definitely I would say, probably 20% or less of non-CEA of this year's business. But as we progress into the future in 2023, and beyond, I don't see that percentage changing significantly, because of the design build opportunities that we're bidding on now in both vertical farming and cannabis as well. So, the percentage won't change much because both sides are rapidly growing. And we're not done either, Aaron. We still have an aggressive appetite for acquisitions of accretive synergistic, profitable service companies. And by bringing these skill sets on, we're entering new markets, globally, we're able to perhaps access client contracts that we don't have today, and then also feel the demand. The word I mentioned 125 employees. We also have said two dozen that have 18 to 24 open job recs right now as well for architects and engineers. So we're hiring to meet the demand right now in front of us. Dick, do you want to take it from there and maybe add on, if you'd like, or talking about the buybacks.
Dick Akright : Yes, sure. And Aaron, from the standpoint of the buybacks, certainly, with the way we looked at things, a good opportunity, a unique opportunity from the standpoint of reducing some of the outstanding shares, knowing that we were in the process of an acquisition and therefore, basically kind of protecting the shareholder base from the standpoint of just on a net effect basis, maintaining where the outstanding shares were going to be once the acquisition was complete. So, given that and where the stock price was, I just saw it as a unique opportunity to make those treasury share repurchases. And then like I said, when we were ready to kind of close the acquisition, we kind of have that and that availability out of the marketplace, and then when we issued the shares, which we have been doing as part of all of our acquisitions, part cash, part stock, part contingent earn-out, but then when we issued the shares, it really kind of maintained things where they were from the standpoint of the total outstanding shares. So, from our standpoint, good from the standpoint of really protecting our shareholder base, basically issuing those shares and then not having any kind of dilution to shareholders from kind of pre-acquisition. So that was really kind of a thought basis on it.
Aaron Grey: Okay. Great. I think great color. That was really helpful. Second question for me. I know we touched on this last call, but a couple of other hydroponics players. I announced today talked about an even tougher environment through 2022 than it might have previously been expected. I know you guys are a little bit more insulated from that, because you didn't have that exposure to those West Coast states. But some other states were talked about including Michigan and otherwise. So I just want to go back to just off the cost of the backlog coming down a bit in this quarter, just how you're looking at the build-out environment within the U.S.? And then also with some of the new states coming online, specifically like in New Jersey, where they have given the 100 conditional licenses or roughly 100, mostly cultivation and processing. Where are you standing with those new applications and potentially bringing the modes clients to make sure you capitalize on those new adult-use market opportunities. Thank you.
Brad Nattrass: I'll take that, Aaron. What our messaging, it's so critical in the quarters ahead. We're building something much larger than an ancillary cannabis company. And you're right, as a services company, we are somewhat insulated. The fact that we are a service company also gives us a global reach. Our IP travels very well. But we're not a manufacturer, a wholesaler or a distributor. We're focused on providing all of our services levels and also specifying, procuring and integrating in equipment, a variety of different solutions to client facilities in the U.S. and also dispensary. Both Emerald and 2WR work on dispensary. And now we offer full design-built dispensaries as well. So we have the opportunity in the US to go after the new market, the growth in the Northeast, Midwest, New England, we're doing our jobs right. We've been working in those states a year prior to the licenses being handed out. But the fact that we're not a distributor and we don't just sell durable goods to our clients on a transactional basis. Our clients are the new single-state operators or the MSOs as they expand. They -- they award licenses in a new state. And regardless of what's happening in the state right beside those facilities and dispensaries will be built and those are the clients that we're targeting. And that's in the US. You take that same model over to Europe. And in the European marketplace, I mentioned earlier the countries in which we're operating right now. And now we're beefing up the team to have a full service delivery model in the European markets as well. The European cannabis space it pushed pause during the pandemic. There wasn't enough momentum there entering the pandemic. And so they're now coming out of that, and there's a lot of excitement and there's a lot of demand for the services that we have from those 500 facilities. And then finally, the food vertical farming companies globally both in the US and Europe. So it's -- we're building and managing a large business and that diversification that I've mentioned a few times will be part of the messaging you hear a lot from me as well. It's not having inefficient assets. It's having those billable hours maximized and staying extremely close to our clients for the life of the facilities doing a great job. And so they use us the next time we go as well. So I feel, I fully answered your question, Aaron, but is that helpful? Do you want me to add on to the back end there?
Aaron Grey: No, that was great, Brad. Much appreciate and I’ll go back into the queue.
Brad Nattrass: Okay. Awesome. Thank you.
Operator: Your final question today comes from Eric Des Lauriers with Craig-Hallum Capital Group. Please proceed with your question.
Eric Des Lauriers: Great. Thanks for taking my question and congrats on a solid quarter here. So services, both, kind of, in the quarter and with the backlog certainly a bright spot here. Looking at the past two quarters and that kind of backlog conversion, I suppose a bit of a housekeeping, kind of, question here. It's looking like we're seeing a higher percentage of that backlog converts in the next quarter. Is that just, kind of, a coincidental thing in the past two quarters, or is there any structural reason for greater conversion of the backlog to revenues compared to the equipment business backlog? Thanks.
Brad Nattrass: Thanks, Eric.
Dan Droller: Please go ahead, Dick.
Dick Akright: Well, I was going to say -- yes, Eric, from a standpoint -- great question and very observant. From the standpoint of the way the backlog converts into the revenue that we have, it is highly dependent on the type of equipment that we do have in the backlog. And just as a -- for instance, HVAC, which has long lead times, if those are setting in backlog they won't necessarily convert to equipment system sales in the next quarter. Those are taking longer lead times right now. But to the extent that setting in backlog, our lights or benching type things that convert pretty quickly. Those that will turn into revenue pretty quickly in the next quarter or at least the next two quarters, and so those can influence the percentage of revenue that we see from what was beginning a period backlog. So that's part of what we saw in the first quarter with some lighting and some venturing that converted into revenues. So anyway, a little bit of clarification on that. But -- so we kind of look at that over a period of time from the standpoint of, well, what percentage of backlog became revenue in the next period in a range that's kind of been from, gee, 65% or maybe 78% of that backlog. But from our perspective, nothing unusual happened in the quarter. It was just -- it was in the type of backlog that was better at the start of the period. So that just kind of ebbs and flows on us.
Eric Des Lauriers: Yes. And then so for the services backlog, obviously, no HVAC type supply chain issues there. Should we expect a general higher percentage of service backlog to convert in the subsequent quarter than there is for cement systems?
Dick Akright: It historically for us has been with the acquisition of the 2WR entities that it's been a higher percentage of that backlog that then became revenues in the subsequent quarter, partly because with obviously the services, you're not dependent on a third-party vendor to really supply you with any kind of material. So as long as the customers wanting to move forward on a basis with that type of service that we do provide, whether it's drawings to architecture with regard to completing a facility and moving forward, then that can all go pretty quickly, a little bit of an interactive process with the customer from the standpoint of them giving our architects and designers feedback on a facility, but you don't have some of the certainly supply chain issues that can hit you from the standpoint of the equipment side of things. So that's tended to be a higher percentage conversion.
Eric Des Lauriers: Okay. And then in terms of -- I appreciate the comments that you guys have provided with respect to our diversification with 2WR specifically, hospital and industrial-type projects. So I understand the revenue synergies from more CEA type project that 2WR does. In some of these hospitals and industrial projects, should we think of those as pretty much service revenues only, or do you guys see some potential for product sales and equipment systems, revenue, synergies there as well?
Dick Akright: Eric, they'll be service focused.
Brad Nattrass: From an EPC standpoint, we can bring our engineering in there. We can handle the construction management site, where we're managing the GCs, but we don't want to take that risk of general contracting. But at this time, we don't have any intentions of selling equipment to the building systems or especially the expertise we've built is all on cultivation of CEA and not the off-the-shelf project, products like lights, but the more custom environmental systems like mechanical or environmental controls and irrigation distribution systems that require our engineers or our designers to design and cater  and culminate with construction documents. So it pays money and good, strong ease and in stock. But that's EPCs one, the value-added EPC for us is that expertise in the – in specifying, procuring and integrating in cannabis and food.
Eric Des Lauriers: Yes. Okay. Yes, makes sense. I appreciate the clarification. Just one more for me, if I can. So gro-care, I understand it's certainly early days there. But could you provide just any kind of update to the street here on the overall reception that you've had so far for gro-care? Thank y.
Dick Akright: Yes, for sure. And it's a great question, and I want -- I can't wait for it to be material, so we can be reporting on it more often because, it's very important. It's important to the company, it adds value not only to our clients, but also to the shareholders and to our business, it's a long-term priority. It is definitely going to take additional investment. And we're constantly trying to find ways to build the business and address client needs. And this fits the -- shoe fits perfectly here because we're staying in contact where we're utilizing that expertise to help them avoid mistakes and training. But at this point, with all of the solutions -- sorry, all of our services under one roof, I think we'll be a lot more efficient in making it material quicker, but it is definitely a priority here.
Eric Des Lauriers: I appreciate that. Thank you.
Dick Akright: Thank you.
Operator: That is all the questions we have for today. Please reach out to investors@urbangro.com with any additional questions. I will now turn the call back over to Mr. Nattrass for closing comments.
Brad Nattrass: Great. Thanks. I’d appreciate it all. I'm grateful for your interest and ongoing support. We're dedicated to chicken back  delivering sustainable long-term value for shareholders and of course, our clients. If you have more questions, please reach out to ICR or Dan Droller here internally. And again, thanks for your time. Have a wonderful evening.
Operator: This concludes today's conference. Thank you all for your participation. Have a great day.